Operator: Greetings, and welcome to the Matrix Service Company First Quarter 2011 Results Call. (Operator Instructions) It is now my pleasure to introduce your host, Tom Long, Vice President and Chief Financial Officer for Matrix Service Company. Thank you. You may begin.
Thomas Long: Thank you, Christine. I would now like just to take a moment to read the following. Various remarks that the company may make about the future expectations, plans and prospects for Matrix Service Co. constitute forward-looking statements for purposes of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors, including those discussed in our annual report on Form 10-K for our fiscal year ended June 30, 2010 and in subsequent filings made by the company with the SEC. I now like to turn the call over to Mike Bradley, President and Chief Executive Officer of Matrix Service Company
Michael Bradley: Thanks Tom and good morning everyone. We appreciate you joining us today to discuss results for our first quarter ended September 30, 2010. It has been only a month since our last earnings conference call so our comments today will be relatively brief. To begin, we are pleased to report that the fiscal 2011 is off to a good start, was followed backlog growth in both our construction services and repair and maintenance services segments. Consolidated backlog has grown in both of the last two quarters and now stands at $395 million, a 20% increase over the prior year and the highest level since May 2009. The $42 million increase in the first quarter was primarily due to awards in the aboveground storage tank market or we are seeing renewed capital investment and a pickup in repair work. In addition to the backlog growth, we are pleased with the overall operating results in the first quarter which are driven by the aboveground storage tank and the electrical and instrumentation markets. Revenue from our electrical and instrumentation business more than doubled in the first quarter compared to the prior year and the aboveground storage tank construction revenues increased 30% over the same period a year ago. Consolidated gross margins while lower compared to the prior year’s increase from the fourth quarter of fiscal of 2010 to the first quarter of fiscal 2011 despite a slow start of the quarter as I mentioned during the last conference call. We remain focused on project selection and execution in order to improve our gross margins going forward. Cost reductions implemented over the past two years contributed to our improved operating results in the quarter. The aggressive changes in our cost structure and response to the economic slowdown has positioned the company to better absorb overhead cost and improve overall gross margins. We will continue to manage our cost structure in response to ever changing market conditions. However, improvements in our business segments may require us to add resources to address the opportunities we see developing. As we look forward, we are encouraged by a number of positive developments in many of our businesses. This trend is supported by improvements in the economy in capital markets and many projects which were delayed or cancelled are now moving forward as long term outlook improves. As we discussed on our last conference call, the contingency opportunity to across all of our core market still remain cautious with regards to the timing of future awards. Construction opportunities in the aboveground storage tank business are increasing as a result of ongoing development of the Canadian oil sands and related pipeline construction. In addition, we are bidding projects for a variety of companies that seeks to expand their storage assets. Matrix Service is well-positioned to respond quickly to these opportunities to the development of our key engineering and construction personnel and utilization of our fabrication facilities. The AST repair maintenance business is also showing some signs of improvement which is encouraging. As we stated on our last call, we continue to take a cautious view of the downstream petroleum market in general as the near term outlook really remains uncertain. The reason up trend in refinery utilization rates and improving cracks spreads suggest that the cycle of domestic turnaround is likely to firm up during the course of calendar year 2011. While the current activity has picked up the level of competition continues to make it difficult to capture work at effective gross margins. We do believe the market conditions are likely to improve in the intermediate to long term as the economy improves. We continue to pursue opportunities in the upstream petroleum markets as we discussed in our last call in the recently secured project awards. Our capabilities allows us to provide mechanical services and fabricated equipment to support new drilling programs and planned expansions throughout the western U.S. and western Canada. These opportunities represent significant revenue potential for the company as we move into calendar years 2011 and 2012. The power electrical and instrumentation market continues to represent a sizeable growth area for the company over the intermediate and long term as a result of our expanded operations in the northeast corridor and the mid Atlantic states. We are positioned to capture a significant amount of work that is required to improve the reliability and efficiency of the nation’s electric grid a growing number of renewable energy projects to the grid as well. We are also positioned to capture opportunities associated with upgrades of transmission lines and high voltage transformers as a result of our contract of choice relationships with many investor owned utilities. The emergence of new air quality standards will mandate the addition of state of the art environmental control infrastructure at many of our customer’s facilities. Another element of this market includes the company’s capability to deliver varying scopes in the design and construction of gas fired generating stations which we believe, will result from the continued development of the natural gas shale reserves. Our electrical instrumentations, power mechanic construction capabilities have allowed us to bid on a number of emerging opportunities in the natural gas market. These opportunities are driven by the rapid exploration development, the natural gas shale reserves in the United States. Given our strong presence in the northeast we are well positioned to capture construction projects in the Marcellus shale. The Matrix Service can provide constructions services associated with gas compression infrastructure including (inaudible) process vessels, gas-liquid processing facilities and electrical substations. We currently provide electrical instrumentation services to some of the nation’s nuclear generating stations in support of critical security enhancements that we expect to continue throughout fiscal 2011. In addition we are also capable of providing engineering fabrication and construction services with the addition of our R stamp. Further we expect to receive our NR stamp in calendar 2011 which will expand our maintenance service offerings to our domestic fleet of operating nuclear facilities. As we discussed previously we continue to pursue opportunities to expand steep plate structures business into Latin America. We are actively bidding projects in a number of targeted countries as we leverage our brand and reputation with select customers in these markets. We are enhancing our business infrastructure to support these efforts to capture project awards in calendar 2011. We are encouraged by the recent improvements in the market in our operating performance in the first quarter of 2011. Our projects finally, remain very robust with many construction and maintenance opportunities across all domestic and select international market. As a result we are reaffirming our fiscal 2011 guidance in the range of $0.60 to $0.80 per fully diluted share. With that I would turn the call over to Tom to discuss the financial results.
Thomas Long: Alright, thanks Mike. I will make a few premises before we open it up to questions. In the first quarter we earned $0.12 per fully diluted shares of $152 million of revenue which represents our highest quarterly revenue since the fourth quarter of fiscal 2009. Construction service revenues increased to $98 million in the quarter compared to 78 million in the same quarter last year. While our repair and maintenance services segment revenues decreased to $54 million in the quarter compared to 60 million in the prior year. Consolidated gross profit was $16 million in the quarter versus $17 million in the first quarter last year. In the first quarter of fiscal 2011 construction services gross margin were 11.6% and repair and maintenance services gross margins were 8%. Consolidated gross margin were 10.3% in the quarter as compared to 12.7% in the prior year period. First quarter SG&A expense $10.6 million as compared to 10.1 million for the prior year with the increase resulting from the $500,000 for the cost of the internal investigation recently concluded last quarter. Our cash balance was $43 million dollars at the end of the first quarter of fiscal 2011 as compared to 51 million at the end of fiscal 2010. This decrease in our cash balance resulted from increased working capital to fund the growth in business volume experienced during the first quarter. Our overall liquidity remains very strong and we continue to fund the business with cash flow from operations. We believe our strong balance sheet and bonding capacity provides significant financial flexibility to capitalize on emerging growth opportunity and also serves to differentiate us from many of our competitors. So with that why don’t we go ahead and open the call up to questions.
Operator: Thank you. We will now be conducting your question-and-answer session. (Operator instructions) Our first question is from Fred Buonocore with CJS Securities. Please proceed with your question.
Fred Buonocore - CJS Securities, Inc.: Oh yes, good morning. Nice improvement ad performance from last quarter.
Thomas Long: Good morning Fred.
Michael Bradley: Good morning Fred.
Fred Buonocore - CJS Securities, Inc.: Just wanted to quickly ask – it great to reaffirm your guidance for the year can you give us also a sense of what maybe Q2 should like – to look like relative to Q1 given the trends that you are currently seeing?
Michael Bradley: We don’t give break out the guidance by quarter but I will say – and this is kind of repeating some comment earlier and it has been playing out. We are seeing a ramp up as we continue as you know our guidance in general was more backend loaded even as we went through this quarter we saw the same kind of trend coming out as we went though each one of the month. Hopefully that can kind of give you kind of a flow as of how we see the earning playing out through the year.
Fred Buonocore - CJS Securities, Inc.: Sure and would it be reasonable to assume that backlog could continue to expand over the next couple of quarters?
Michael Bradley: Fred, I would say that we are encouraged with the bidding activity that is on and continues to go on. As you know awards are always lumpy so we really don’t predict our backlog quarter by quarter but obviously we have 2 strong quarters. Productivity remains strong but as always it will be lumpy.
Fred Buonocore - CJS Securities, Inc.: And then secondly, could you remind us what the total cost reductions were that you implemented, I guess over the last year and how much of that maybe do you think you see coming back in as you have to have more capacity?
Michael Bradley: Fred, I think what we have been looking at from the SG&A standpoint is getting to this kind of $40 million run rate for the SG&A and if you look at what we achieved during the quarter it came in right at the 10.5 which that included the (in power) investigation cost. So as you know that bring us back down if you take that out, back to about $10 million level. That is more in line with what we are anticipating for the year.
Thomas Long: Fred I would add that we take the (inaudible) but on the construction overhead (inaudible) but the cost reduction have been substantial over the past year, get our absorption back in line.
Fred Buonocore - CJS Securities, Inc.: Would you say that continued into the first quarter or you kind of –
Thomas Long: Yes.
Fred Buonocore - CJS Securities, Inc.: Okay. Great thank you very much. I will get back in line.
Operator: Our next question comes from the line of Matt Duncan with Stephen’s. Please proceed with your question.
Matt Duncan - Stephen’s Inc.: Hi and congratulations, it is a nice progress this quarter.
Thomas Long: Thanks Matt.
Michael Bradley: Thanks Matt.
Matt Duncan - Stephen’s Inc.: The first question I got is: I want to look at the E&I segment a little bit more here. Talk a little bit more about what is driving that, that very strong growth there? Mike you mentioned some contracts of choice type arrangements. How many of those do you guys have now and are those still growing and just talk a little bit more about sort of how you see that (inaudible) payment plan going forward.
Michael Bradley: Yeah. This is a business Matt, we have been (inaudible) about as you know following our acquisition of SM Electric and combining it with the capabilities that we already exists within Matrix. I see several thing happening is one, obviously as we have discussed probably more than a year ago that the need to upgrade the infrastructure particularly in the markets that we have targeted and that the a lot of the public utility commissions were approving right increases for the utilities to start expanding and upgrading facilities and I think that has been one factor. I think the other is just the grid in general and the need to begin to add capacity; the grid connecting renewable but also upgrading the grid in general. Our strategy has been to continue to develop this contract or choice relationship utilities. We are a recommended provider for services not necessarily a sole provider but again based on our capabilities continue to develop this relationships which allow us to expand the service that we provide but also the geography in which we provide those services. I think that we continue to see this going forward for several years and I think the next phase as they start upgrade the transmission facilities will create opportunities for Matrix as well.
Matt Duncan - Stephen’s Inc.: And by how many of those agreements do you have at this point – the contract or choice type of agreement?
Michael Bradley: I am going to probably guess around half a dozen or so and we continue to work to expand that.
Matt Duncan - Stephen’s Inc.: Okay, that is helpful and then on the N stamp, I think in the last call you thought you might get that shortly after the first of the year. Can you update us on the timing of when you think you may get that?
Michael Bradley: I think at this point we still expect receive it shortly at first year Matt. As you know we are dependent on the appropriate authorities to get in, review and approve things but we expect shortly after first year.
Matt Duncan - Stephen’s Inc.: Revenue start shortly thereafter?
Michael Bradley: Pardon me?
Matt Duncan - Stephen’s Inc.: I said the revenue’s ramp shortly after you get that stamp?
Michael Bradley: What I would say is it now positions us to expand the services we are already providing.
Matt Duncan - Stephen’s Inc.: Okay.
Michael Bradley: To get into the mechanic repair and maintenance so obviously that is our markets we are working on right now.
Matt Duncan - Stephen’s Inc.: Okay, then last thing I’ll haul back queue – on the acquisition landscape what are you guys seeing out there right now? Are you seeing opportunities and you still thinking about maybe putting some of your cash work to make acquisition?
Michael Bradley: Yes, we are seeing a lot of different opportunities today and some that are probably starting to get more reasonable in terms of multiples for us but yes, we want to hear our balance sheet to work. We want to grow the business and our focus right now is what in the acquisitions and the organic growth.
Matt Duncan - Stephen’s Inc.: Thanks guys.
Operator: Our next question comes from Mike Harrison with First Analysis Securities. Please proceed with your question.
Mike Harrison – First Analysis Securities: Hi good morning.
Michael Bradley: Hi, Mike.
Mike Harrison – First Analysis Securities: Everything sounds pretty positive right now so I wanted to talk about the Downstream Petroleum business that maybe (inaudible) thinks down a little bit. It seems like even though things were not going well this quarter you are seeing signs of things are picking up. Can you just comment – maybe on a more detail on what kind of visibility you are getting in terms of the turnaround cycle and maybe downstream construction plans heading into calendar 2011?
Michael Bradley: I think looking at calendar 2011 we are as I think I mentioned in the last call starting to see more capital opportunities developing. The turnaround business again but yet we are focus on the services that we provide. I would say right now it is more in what we call a normal range and I think 2011 we are encouraged particularly on the second half of 2011 in terms of opportunities. It is a business right now that I think is pretty dependent on the economy. So we are just continuing to be a little bit cautious. This is also an extremely competitive business and we have been much targeted and focused on the (inaudible) opportunities that we go after and so.
Mike Harrison – First Analysis Securities: All right and then on the edge T side can you provide any revision to the 9 million barrels of storage number that you noted last quarter?
Michael Bradley: No, I think we stated there in the last quarter was the 9 million barrels that we have book following our Q4.
Mike Harrison – First Analysis Securities: And that number is not going up. Unidentified We continue to recent very seasonal awards but I do not have enough data figure for you on that, Mike.
Mike Harrison – First Analysis Securities: Okay, then last question is on the international side, can you give us a little bit more detail on maybe how many opportunities you are looking at and also what kind of cause you are incurring as you are pursuing some of those opportunities in Latin America?
Michael Bradley: I think that I mean the opportunities that we seeing right now are pretty significant and that is part of our effort about a year ago as when started to really focus and add the BDK authorities to go out and develop these opportunities and so the bid has really increased. We are seeing quite a few. I do not think that our cause to pursue new business is really something that I would halt – material is really pretty small. We have been to a lot of in house resources in our specialty business that can be deployed. It is not major prospect to this business at all right now.
Mike Harrison – First Analysis Securities: But in terms of – I guess as you look into expanding into a new country I mean what kind of infrastructure personnel equipment cost are going to be associated with that or is it something you feel like you can handle from your current asset base?
Michael Bradley: That would be project by project basis so that would be cost that we would include in the bid and in the execution of the project not necessarily a bunch of cost we have to add into the company
Mike Harrison – First Analysis Securities: All right. Thanks very much.
Michael Bradley: Thanks, Mike
Operator: Our next question comes from Tahira Afzal with KeyBanc Capital. Please proceed with your question.
Tahira Afzal – KeyBanc Capital: Good morning, guys and great quarter.
Michael Bradley: Good morning.
Tahira Afzal – KeyBanc Capital: First question I had was as you look at your pipeline and as you look at your backlog now how confident are you about whether backlog has dropped for you guys?
Michael Bradley: I am sorry back log has dropped?
Tahira Afzal – KeyBanc Capital: Yeah, do you think it has dropped and base on visibility that you have as of right now?
Michael Bradley: Obviously our backlog is at about 100 million from where it was at the low point here and the past 12 months and I think that we continue to see very good bid opportunities and we are more encouraged that projects are actually going to awarding in construction so we are definitely more encouraged by what we see today.
Tahira Afzal – KeyBanc Capital: Got it. So despite the lumpiness you talk about you do feel at generally at this the backlog trend will actually be up (inaudible).
Michael Bradley: I cannot predict quarter by quarter Tahira. It just ends on the timing awards which still remains a little bit uncertain but just based on the activity that we are seeing we are lot more encouraged than we were a year ago for sure.
Tahira Afzal – KeyBanc Capital: Okay and then if I look at your guidance as it stands right now and then number two you know you had your goals just a month ago but really if you look at the first quarter performance in which come out and then look at your guidance for the full year do you feel more comfortable around the middle to upper end of the range of what you did when you set the guidance.
Michael Bradley: I think we feel comfortable with the range and again our reason for reaffirming the range during this call.
Tahira Afzal – KeyBanc Capital: Got it and if you look at the first quarter performance would you say that it is in line with how things are looking when you give guidance or would you say it might be a little better?
Michael Bradley: I think when we gave guidance and during the last call we stated that the summer was slow and it was and that we saw business picking up and so I think that we are pleased with results for the quarter. Obviously, the start as I mentioned was a little bit soft but where businesses have picked up and continue to pick up so we are – we remain encouraged.
Tahira Afzal - KeyBanc Capital: Got it, thank you, alright. Last question is in regards to your quarterly revenue. If I look last year you could do up to 12% plus margins on a $150 million in revenue. Now you have bookings coming in at a clipped off well ahead of that, at least for two quarters. How do you see margins behaving on the growth side as you see utilization rate picking up perhaps about the $150 million mark?
Michael Bradley: I think that from a gross margin’s standpoint, we are continuing to focus on improving our gross margins as we go forward. I think utilization will help obviously as we talked about the under absorption that we incurred last year. We are getting more into (inaudible) absorb mode now which is benefiting margins. Some of us can depend on a repair and maintenance business and how competitive that market remains over the near term, but I think that the (patch of) project that we are winning and continue to bid on have good margin potential form.
Tahira Afzal - KeyBanc Capital: Got it, okay. And so I look back at the second half of the year, your growth margins were between 12.5% to 13.5% granted your pricing is lower but you are utilization is picking up. Is there a chance we can reach 12.5% assuming your execution, etcetera is at the track, can we see 12.5% being reached by the end of the year?
Michael Bradley: Well, I will not give a timing on it but I will tell you that we sure believe that can be reached and that our margins particularly in a stronger environment can improve.
Tahira Afzal - KeyBanc Capital: Got it. Thank you very much gentlemen.
Michael Bradley: Thank you.
Operator: (Operator Instructions) Our next question is from Martin Malloy with Johnson Rice. Please proceed with your question.
Martin Malloy - Johnson Rice & Company, L.L.C.: Congratulations on the quarter.
Michael Bradley: Thank Martin.
Michael Bradley: Thanks.
Martin Malloy - Johnson Rice & Company, L.L.C.: Could you talk about some of the opportunities that you are seeing on the upstream side? You cited in western US and Canada, mechanical and fabrication components – are you going in gas processing plants or what exactly are you seeing there?
Michael Bradley: Currently we have secured opportunities and continuing to build a presence in the western US supporting drilling operations that are going on at this time. So we are working at the drill size, to the mechanical work, fabrication, crack tanks and other repair and maintenance services. We see this is as an interesting marker for us and it fit very well with us and we have been successful perhaps securing opportunities. And this is an area we continue to look at opportunities to expand our business further.
Martin Malloy - Johnson Rice & Company, L.L.C.: Okay. (inaudible) helping set up the rigs or I do not know where –
Michael Bradley: It is more of a mechanical piping, (inaudible) tanks, repair and maintenance. We are not in rig works though.
Martin Malloy - Johnson Rice & Company, L.L.C.: Yeah, okay. In terms of tankage capacity looking out over the next 12 to 24 months, there is some very significant plan for pipeline expansion coming down from Canada what Trans-Can has planned. Is there any help they can give us in term of thinking about the potential opportunities associated with that?
Michael Bradley: What I can tell is when you look at our bid opportunities and you include Canada, the storage numbers are pretty significant. I cannot give you an exact number now. I could probably have to do that next call but we do have arranged a (inaudible) that are currently we are looking at sitting on so (inaudible) certainly picked up.
Martin Malloy - Johnson Rice & Company, L.L.C.: Thank you.
Operator: Our next question is a follow-up question from Fred Buonocore with CJS Securities. Please proceed with your question.
Fred Buonocore - CJS Securities, Inc.: I am just following up on Tahira’s question about margin. As you look out through your backlog and kind of a timing of when you will start to liquidate a lot of that work, are there any spaces or points in that backlog where you might be starting up on an excess of new projects versus a wrapping up on more matured projects that could result in a hiccup or like a puddle in margins as we progress to the year or do you see things kind of evenly flowing with volumes as we move to the year?
Michael Bradley: We do not see any hiccups in margins at this point for (inaudible) that – I would say typically December is a live month for us because the holidays but I think right now we are pretty encourage with the backlog and how we see the year unfolding so I do not anticipate any hiccup that does not show.
Fred Buonocore - CJS Securities, Inc.: Okay. And then just (inaudible) longer turn, when you look at the (inaudible) business and perhaps you have disclosed it before so forgive me if you have but you have a target for how large you think you can grow that business in terms of revenue maybe over 3 or 5 years period?
Michael J. Bradley: We never disclosed the target (inaudible) for that so I may have to get question when we have disclosed that but I think that as you can see from the first quarter our revenues have grown significantly. Our focus is to continue to expand the types of services we provide welted to the (inaudible) marker as well as the geography. And that has really been our focus is to continue to expand most of those concurrently.
Fred Buonocore - CJS Securities, Inc.: Okay. And then just a final follow-up, just interested in some of your thoughts that has related to the competitive environment and the downstream business, what type of competitors are you seeing most of the pressure from or perhaps someone irrational pricing from – are these larger global kind of guys or your smaller regional players and what point do we need to reach in your view whether it is refining margins or – I am not sure what metric you might be looking at but what point do we need to reach your view that would really start to materially ease these pressures?
Thomas Long: Just second half of the ball at this point.
Michael J. Bradley: What I think of couple of things going on there is; one, that following the fallout from ‘08 and ’09, there was such a reduction in work and the result of that was a lot of excess capacity and the repair and maintenance business associated with the refining market. I do not think that excess has been worked out yet so it is still pretty competitive. We compete with a lot of mainly regional players. When you look at our business, although we reach all over the US, we got regional segments that we focus on.
Thomas Long: I think the second piece of it is I think it is refining, utilization picks up. I think the maintenance work will pick up and that will lead to more business opportunities and I think that hopefully we will see some improvement in the margins as we go forward.
Fred Buonocore - CJS Securities, Inc.: Okay, that makes sense. Thank you.
Operator: Our next question is also a follow-up question from Tahira Afzal with KeyBanc Capital. Please proceed with your question.
Tahira Afzal - KeyBanc Capital Markets Inc.: Sorry gentlemen, my question from on the (inaudible) and upstream opportunity and that question was answered. Thank you.
Michael J. Bradley: Okay, thank you Tahira.
Operator: Mr. Bradley there are no further questions at this time. I would now like to turn the floor back over to you for closing comments.
Michael J. Bradley: Okay. Well again, thanks everybody for joining us on the call today. Hope everybody has a good weekend and we look forward to talking with you after we complete our second quarter. Again, thanks and have a great weekend.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may now disconnect your line at this time. Thank you for your participation.